Operator: Good morning and welcome to the Solaris Oil Third Quarter 2020 Earnings Conference Call. [Operator Instructions] After today's presentation, there will be opportunity to ask questions. Please note that this event is being recorded.
 I'd now like to turn the conference over to Ms. Yvonne Fletcher, Senior Vice President of Investor Relations. Please go ahead. 
Yvonne Fletcher: Good morning and welcome to the Solaris Third Quarter 2020 Earnings Conference Call. I am joined today by our Chairman and CEO, Bill Zartler; and our President and CFO, Kyle Ramachandran.
 Before we begin, I'd like to remind you of our standard cautionary remarks regarding the forward-looking nature of some of the statements that we will make today. Such forward-looking statements may include comments regarding future financial results and reflect a number of known and unknown risks.
 Please refer to our press release issued yesterday, along with other recent public filings with the Securities and Exchange Commission that outline those risks. I would also like to point out that our earnings release and today's conference call will contain discussion of non-GAAP financial measures, which we believe can be useful in evaluating our performance. The presentation of this additional information should not be considered in isolation or as a substitute for results prepared in accordance with GAAP. Reconciliations to comparable GAAP measures are available in our earnings release.
 I'll now turn the call over to our Chairman and CEO, Bill Zartler. 
William Zartler: Thank you, Ivan, and thank you, everyone, for joining us today. I'd like to begin this morning by saying thank you to our employees. I recognize how challenging this environment has been. Amidst the presence of a global pandemic and an unprecedented industry downturn, we have adapted well to the rapidly changing needs of our customers, new work safety guidelines and organizational changes without missing a beat in continuing to provide safe, first-in-class service. Their efforts have helped us navigate this downturn while continuing to generate cash and maintain a debt-free balance sheet. This is quite an accomplishment. I'm very proud to share it with the investment community today. Thank you again for your flexibility, commitment and hard work, and I'm excited to see what this team can accomplish on the other side of this.
 Now turning to our third quarter results. Solaris had an increase in fully utilized systems of 70%, generated over $20 million in revenue, had adjusted EBITDA of approximately $3 million, had our seventh quarter of positive free cash flow and paid our eighth consecutive quarterly dividend despite the continued challenging environment.
 Our customers returned to a modest level of completions activity during the quarter as pandemic-related lockdowns were lifted and oil prices recovered modestly. This drove to 70% increase to 34 fully utilized systems for the third quarter, up from 20 fully utilized systems in the second quarter. This increase was primarily driven by increased completions activity in the Permian Basin, which saw the sharpest activity pullback in the second quarter and was the first to rebound in the third quarter. While we are active in nearly all basins, we are positioned well in the Permian and benefited from this trend in the quarter.
 Today, our overall activity is running slightly higher than the third quarter average. However, a seasonal holiday impact could drive the decline as we approach year-end. Therefore, we expect our fourth quarter activity could be flat to up modestly. We also acknowledge that crude prices have taken a significant dip recently and should they remain at these levels, there is some downside risk to fourth quarter activity levels.
 While it is still early to make a call on next year's activity, many of our customers have expressed intentions to add frac crews next year if crude prices hold closer to the $40 level. Should other operators set budgets to maintain oil and gas production levels, we'd expect overall industry activities levels as well as ours to increase in 2021. However, the pace and ultimate level of the increase is still an unknown as many operators likely prioritize balance sheets, examine dividend policies and digest recent M&A activity as they plan for 2021 and beyond, and the pace of economic recovery and crude price volatility remains at risk.
 What is more certain for the coming years is that operators and service companies alike will continue to focus on increasing operational efficiencies to maximize cash flow. We firmly believe that companies that can provide the most efficiencies will be the ones that will be most successful. One of the ways in which the industry will achieve efficiency will be through the use of data analytics and software with the end goal of using machine learning to further automate processes, utilize predictive maintenance and essentially do more with less.
 During the quarter, we helped many of our customers achieve new sand throughput records for single day and sustained over multiple frac jobs. Solaris equipment was involved with efficiency and safety improvement in line from the very beginning. One of our core beliefs is that well-built reliable equipment, coupled with information and automation, will provide the next leap in efficiency gains and all of our product enhancements and R&D efforts share this goal.
 Looking at software as an example, Solaris was a pioneer in developing our original PropView software solution, which initially provided our customers with profit inventory visibility. In 2018 and 2019, we scaled it into an application called Solaris Lens, which has grown into a suite of features that bring more data, analytics and efficiency opportunities to our customers' fingertips, not just for sand, but also chemicals. These enhancements mean our customers can now see key well site event history, such as the number of stages they pump that day, the average sand pump per stage or time between stages, while also giving us real-time data analytics to manage the supply chain and help us perform for preventative maintenance.
 We are continuing to evolve the system's capabilities and expand the data analytics we provide. We have recently partnered with Amazon Web Services to help us achieve these goals. We work closely with Amazon to enable Solaris Lens to provide storage and analytics of trillions of events per day up to 1,000x faster than a server and a fraction of the cost of traditional relational databases. These data time series when fully integrated are able to provide the backbone for data-driven frac improvements.
 We've continued making these investments in software and other R&D projects during the downturn, but we've also done it with strict capital discipline, cost control and focus on cash generation. Our capital expenditures should end the year near $5 million, which is a small fraction of what we've spent in prior years when we were building the business. Our costs are also down significantly, both at the field level and the corporate level. We achieved this primarily in the second quarter by reducing headcount and eliminating nonessential spend and working with our vendors.
 During the third quarter, we shifted focus to looking at ways we can get even more efficient going forward and our team has also done a fantastic job making sure we collect the cash we earn. As a result, we've had another quarter of positive free cash generation. Our current cash balance remains above $60 million or approximately $1.36 per share despite having gone through the toughest downturn in the industry's history, continuing to invest in our business and paying shareholders a consistent dividend.
 As we stated before, our free cash flow and conservative approach to our balance sheet provide us with the flexibility to be measured in our capital allocation and avoid the need to potentially overreact to short-term changes in the industry landscape. Sharing our excess cash with the shareholders that helped to build our business continues to be important for us.
 Lastly, I'd like to offer some thoughts on what Solaris' roll in the much talked about energy transition. We view oil and gas as a vital resource in the global economy and expect demand to increase as the world gets back to normal. We believe that oil and gas will remain competitive in the global energy picture by using technology to continue lowering its cost curve and carbon footprint. This is something that has been core to Solaris since its inception. Everything we are focused on is about how to help our customers develop their reserves using the least amount of resources possible. Our work towards increasing automation, improving well site safety and reducing waste are all things that will both help lower the cost of energy as well as its total carbon footprint. Lower cost and lower carbon footprint go hand-in-hand, and I wouldn't bet against this industry's ability to achieve both.
 With that, I'll turn it over to Kyle. 
Kyle Ramachandran: Thanks, Bill, and good morning, everyone. During the third quarter, we generated over $20 million of revenue, adjusted EBITDA of over $3 million and positive free cash flow of approximately $2 million. We averaged 34 fully utilized systems deployed to customers, which represents a 70% sequential increase. Total revenue increased 120% sequentially, driven by an increase in activity as well as an increase in last-mile services, which, as a reminder, has a large trucking revenue component that can be multiple higher than the rental contribution from a typical system, but contribute similar margins on a dollar basis.
 Over the course of the quarter, we deployed a total of 65 proppant systems, which worked with varying degrees of utilization in the third quarter. Our calculation of 34 fully utilized systems reflects the number of equivalent systems that generated revenue every day in the quarter, which we believe is the best measurement for modeling purposes.
 Total SG&A costs for the third quarter were approximately $4 million, inclusive of non-cash stock-based compensation. For the fourth quarter of 2020, we expect total SG&A to be approximately flat at $4 million, inclusive of the normal quarterly expensing of non-cash stock compensation.
 During the quarter, we generated a GAAP net loss of $3.3 million or $0.12 per share. Adjusted pro forma net loss for the second quarter was $4 million or $0.09 per share. As a reminder, adjusted pro forma net income or loss adjust for non-recurring items and also assumes the full exchange of all Class B shares for Class A shares for a more comparative period-over-period presentation. Please refer to our press release issued last night for a full reconciliation of adjusted pro forma net income.
 Operating cash flow was approximately $3.7 million in the quarter. And after total capital expenditures of approximately $1.3 million, our free cash flow was a positive $2.3 million for the quarter. We returned a total of approximately $5 million to shareholders in the second quarter in the form of dividends, which was flat with the prior quarter. Over the last 2 years, approximately $68 million or roughly half of our cumulative free cash flow has been returned to shareholders in the form of dividends and share repurchases. We ended the quarter with approximately $61 million in cash. The slight decrease from the $64 million cash balance at the end of the second quarter was primarily due to a smaller amount of cash generated coming off the industry activity trough, combined with a payment of our quarterly dividend.
 Turning to our outlook. As Bill mentioned, we anticipate activity can be flat to up modestly in the third quarter as many operators continue to complete wells in their inventory and could decrease activity as we approach the holidays. We anticipate some operating expense increase as we'll have a full quarter of some of the personnel and other expenses added late during the third quarter, and we continue to expect SG&A to run at approximately $4 million. We also expect to remain disciplined on capital spending. We are lowering our guidance for capital spending for the full year 2020 to the low end of our guidance range at approximately $5 million.
 As we think about our future more broadly, we believe Solaris is uniquely positioned to take advantage of many opportunities. We have a low-cost structure, no debt and excess cash on the balance sheet, many R&D opportunities and we pay a dividend. We will continue to opportunistically and thoughtfully evaluate both organic and inorganic growth opportunities and remain committed to returning cash to our shareholders.
 With that, we'd be happy to take your questions. 
Operator: [Operator Instructions] First question comes from George O'Leary from TPH & Co. 
George O'Leary: Just with active system count up 70% during the quarter, which was quite impressive, Bill, your comment that you were seeing a record system volumes seem intriguing to me. Just curious if you could frame how much sand is moving through your systems today from a throughput standpoint and maybe give us some historical context as to how that's changed over time? And just tell us what that implies about system efficiency maybe versus the competition or some other metrics that you guys track? 
William Zartler: Okay. Kyle, do you want to... 
Kyle Ramachandran: Yes, George, I'll jump on that one. Yes, it's a great point. I think in the early days, we identified sand intensity going up as a pretty significant trend. And obviously, that's driven the underlying growth in our business. But we continue to see more of it every day. The notion of the simu fracs that are going on today, the high grading of the frac crews that are operating today, we went from 350, 400 frac crews to 100 to 120 frac crews working today. So every crew is more efficient, better trained equipments being taken care of. So the pump hours per day just keep going up. And so where does that translate for our business is into throughput into our systems. So for the most part, we rent our equipment, and so our customers pay a fixed cost to run our equipment.
 So every time they increase their throughput rate, they're actually paying less for our equipment on a dollar per ton equivalent basis. And so we did see roughly a 70% increase in the number of fully utilized systems deployed. But I'd say when we look at the actual total throughput that went through our systems, it's going to be higher in the quarter than the 70%. Roughly anywhere from, call it, 20% to 40% more loads or volumes of sand likely went through our systems in the quarter versus the second quarter. Clearly, in the second quarter, we saw people slow down their intensities and just tried to make it through. It was obviously a very difficult quarter for everyone. But we are seeing volumes go up on a daily basis in each of our systems.
 And the big value that we provide is a large buffer directly at the blender in a very reliable system that's been tested and proven to work very well and a very simple process. Sand gets loaded into the silos and it's effectively gravity fed into the blender with the assistance of a couple of belts. And then further from that, as this intensity keeps going up, we've driven significant automation into the operation of the system. Historically, you would have somebody that physically operated the system, looking into the blender Hopper. And we've automated that through our AutoHopper system that we've talked about in the past. And what we're seeing with the AutoHopper system is a significant ramp-up in adoption among our clients. During these times, people are always looking for ways to save more money, reduce people on location, make it safer, et cetera.
 And so we have customers running our system from the data van. So as we see trends going forward, we see fewer people and we see intensity continue to go up. And technologies like Solaris' AutoHopper and other things we're working on, I think will really prove to be valuable to both operators as well as pumpers. 
William Zartler: Yes. I'd add a little bit to that, George. So we did see an increase in the -- I wouldn't call it complete rebundling, but the last mile solution where we actually handle the sand and do it on a dollar per ton basis. And in those specific instances, we saw fairly significant on the high-end of cows range increase of sand throughput per set of silos. So the throughput overall, we think, from an industry perspective was up significantly through our systems above the 70%. 
George O'Leary: And then the fourth quarter outlook commentary. Just curious if that's more predicated on discussions with customers, just given the comment you clearly ended the quarter higher than you started it, you're saying you're still above the average system count that you had in the third quarter as we sit here today, is the flat to modestly up, more predicated on customer discussions? Or just, hey, we typically see seasonality, let's throw a little dose of conservatism in the guidance and just be prudent and practical and have crude oil prices, recent crude oil prices sound like they've also factored in? Just trying to think through how you guys have thought about that? And then sorry to ask a bunch of questions in one, but could you define modest for us just so we have some sense of what that upper bound might be? 
William Zartler: Well, I think, George, you hit the nail. I mean we just don't know going to December, what things are going to look like. Obviously, we have an election coming up. We have prices with fairly extreme volatility over the last few weeks. I mean we are seeing through October, significantly better than the quarter. And just don't know what we see in December. There's no specific customers that said we're going to take a holiday through Christmas kind of conversations happening at this point. Kyle, anything to add to that? 
Kyle Ramachandran: I think that's right. 
George O'Leary: And then the cash war chest that you guys have built up is very impressive. And clearly, you mentioned in your opening remarks, you want to keep returning excess cash to shareholders. How do you think about priorities for that cash balance above and beyond the dividend? Is it kind of -- given all the uncertainty for now kind of hunker down and play defense? Or is there anything on the offense side that you guys are thinking about with respect to that cash? 
William Zartler: Well, George, we -- yeah, go ahead Kyle. 
Kyle Ramachandran: I would just say, we're always thinking about offense. We view the growth of this business in the downturn of 14 and 15. That was driven by a slowdown activity and we played offense in developing new technologies. And we're continuing to do that today. So our R&D in dollars are going into enhancing our current offering as well as developing further offerings that can continue to play to the themes that we've benefited from an automation standpoint, from an improvement in equipment and technology to be fit for today's frac. We're pretty uniquely positioned. We're sitting behind roughly 35-plus percent of the blenders currently working in the U.S. today. So we see a lot. And so that just gives us a unique perspective.
 And so we've got -- one of the areas we've actually increased from a personnel standpoint during the downturn has been on the engineering front. So we believe that dollars going into prudent R&D investments make sense. Now you can see in the CapEx numbers that we're not spending a ton of money doing it, but we are putting a lot on the whiteboard and having a lot of discussions with customers to make sure that we're at the forefront of technology development, where we really sit at the core, which is what we refer to as the backside. So the low-pressure side of the well site, where water, sand, chemicals are all coming together before they hit the pumps. So that's something we're going to continue to pursue.
 And then from an M&A perspective, obviously, we've seen a tremendous amount of consolidation as of late in the upstream world, a little bit on the services side. And where we look for opportunities is where we think we can do something a little bit different, whether it's integrating with the software that we alluded to and the data that we alluded to earlier in the prepared remarks or something that really fits uniquely with what we have. So we're being very cautious, and we have been. We've only really done one M&A transaction in the last couple of years, which is very modest, but we've got our eyes wide open. 
Operator: Next question comes from Jacob Lundberg of Crédit Suisse. 
Jacob Lundberg: I wanted to start-off, if you could just touch on any changes you've seen in the competitive landscape. It's obviously been a pretty volatile environment the last couple of quarters. How do you expect ongoing E&P consolidation to affect your business or how has it so far? And then, Kyle, on your comments earlier, I think I heard you say that you guys are sitting behind 35% plus of blenders, maybe reading a little too much into it, but I think the normal commentary that you guys have said is like around 1/3 share. So it maybe implies up a little bit. Do you think you've been gaining share or just mix shift? 
Kyle Ramachandran: Well, Jake, I hate to say, but I think you asked 3 different questions there. No, I'm just kidding. 
Jacob Lundberg: Sneaking in together. 
Kyle Ramachandran: Yes. Working backwards, 35% was -- is -- its ranges every day. And so I wouldn't read too much into that, but I think it goes back to your first question, which is what is going on in our space in terms of a competitive standpoint. We've seen several of the same companies go through a restructuring process. The majority of them have been Chapter 11, so they're coming back around with less debt on their balance sheet or no debt on their balance sheet. So that's gone on. We haven't seen any new entrants really material amount of late. And where I think where we've got the edge is we've got the ability where we're just focused on this, really, the backside that I talked about. We're not running another business alongside of it. So we've been able to continue to invest R&D dollars to continue to differentiate and add to the offering. So I think that's kind of where the competitive landscape sits. We haven't seen any consolidation there at this point of significance. Silica obviously picked up the arrows up business last year or earlier this year. So that's kind of where that sits.
 And then from an E&P consolidation standpoint, it's always a question of who do you work for today? And are they being acquired? Or are they acquiring? We work for such a large diversified group of folks that were always going to have some wins there and some potential losses there, and sometimes it's just neutral. And so when we kind of look at the landscape of what's transpired over, I'd say, the last 2 months in the M&A standpoint from operators from the E&Ps. I'd call it neutral, really? 
Jacob Lundberg: Okay. And then as a follow-up, I'll try and keep it to just one. Any color on working capital efforts from 3Q. You guys touched on it in the prepared remarks, but it's obviously notable to see working capital as a slight source of cash in a quarter when you grew revenues as much as you did. Any comments there and particularly interested in kind of sustainability of where we're sitting today on a cash conversion cycle basis? Or any other metric you guys use to judge working capital to be curious in your thoughts around sustainability at current levels? 
Kyle Ramachandran: Yes. Well, certainly, in the second quarter, we saw a significant unwind in our accounts receivable balance, significant efforts to collect there. More of that in the third quarter. And from a working capital intensity standpoint, we're not going to be buying a bunch of inventory as activity stands up, as activity increases, rather. We've got our inventory is the sand and chemical systems that are sitting ready to go to work today. So there isn't a ton of working capital build associated with growing our business. Clearly, the accounts receivable part of our business will grow, but nothing of significance. 
Operator: The next question comes from Stephen Gengaro of Stifel. 
Stephen Gengaro: A lot has been asked here, but there's 2 things that I was thinking about. I was curious if you could address. The first is, in a world where, let's say, we're in 2022, and you've had more consolidation on the E&P side. There's been some frac companies that have either consolidated or gone away, and there are sort of fewer, larger entities on both sides of the business. How does that affected? 
Kyle Ramachandran: Well, I think we're already sitting at a pretty significant sizable position in our space in what we did. So I think we're already of significant scale. We've been successful at being an independent provider to both operators and pressure pumpers. And so some healthy balance of large consolidated pressure pumpers, large consolidated operators, but with some independent service companies that can provide differentiated technology that can help keep everybody sort of playing fare. I think it's probably a pretty healthy piece to have into the market.
 Clearly, if we see a lower for longer activity level in the U.S. in the sand storage market, it's likely that you'll see either consolidation through transactions or consolidation through attrition in the market? We're clearly seeing that in the pressure pumping side. And so we would expect to see something similar in the sand management side. 
Stephen Gengaro: And then the other question is when you look at the revenue in the quarter, and I'm pretty sure that -- and I think you addressed in your remarks. I missed the beginning, but there's a revenue growth that's faster than the deployed systems growth. And I think a lot of that is sort of transportation-related revenue. 
Kyle Ramachandran: Correct. 
Stephen Gengaro: Is there any thoughts on capturing that internally? Is it too capital intensive? And I think in the past, you've suggested that it's not a business you want to be in. Is that continue to be the case? And is there are there any bottlenecks to not owning it? I just -- I know you've addressed in the past. It is a question I get from some investors. So I fire I'd ask you all on the call. 
William Zartler: It's a question that we ask ourselves frequently. Do we own trucks? Or do we just partner with folks that run trucks better than we do. And I think we continually come back to the answer that we're good at what we do at the well site. We're good at making that equipment better. We're not geared up and we're not experts at running truckloads a sand around. Now we manage the fleet in the last mile business, and we've beefed up that organization to the point where we do think it's profitable, and that makes sense. And at this point, our view is that it's not time for us to own a trucking company to be successful at what we do for our customers. 
Stephen Gengaro: And then just one final one. Any update on the chemical side? I know it's a slow market these days, but any update on any progress, traction and outlook there? 
Kyle Ramachandran: Yes. We had a system working with the customer throughout the third quarter. Very happy with the results that, that customer has probably got work kicking off latter half of the fourth quarter. So we expect to get something back out there. And then today, we have a chemical system working for another customer. So yes, we still feel good about it as we've discussed, the value proposition from an operational standpoint, from a logistics standpoint is very clear. And ultimately, we do feel like we will get to a point where we get more of them deployed. But just what I like to always say is we've got several of them in the inventory today, ready to go and doesn't require incremental capital to put them out. 
Operator: The next question comes from Jon Hunter of Cowen. 
Jonathan Hunter: So I just had kind of a question about your outlook for profitability. I guess your margin per system. It seems like with flat activity, your margin per system would be kind of flattish, I guess, in the fourth quarter. But Kyle, you did note some costs coming back kind of later in 4Q. So just curious how you're thinking of profitability there? 
Kyle Ramachandran: It's obviously a moving target as activity goes up, we will have some additional costs that come through. But I think where we came out in the third quarter as far as profitability per system, if you will. I think that's probably a good number to be using here as we talk about a flat to modest outlook for the fourth quarter. 
Jonathan Hunter: And then the press release and I guess your prepared comments note some cautious optimism about activity recovery in 2021. Is that based on your customer conversations today? Do you see customers talking about adding systems early in the first quarter? And then do you think some of that may be dialed back a little bit given what the commodity price is done? 
William Zartler: I certainly -- go ahead, Bill. David, it will flow with the commodity price somewhat, but we have had specific conversations with customers that believe they're going to add back systems in 2021, more active in the gas basins as well as the oil basin. So there is a level of gas activity, Marcellus and Haynesville that we will see, and I think we see that stabilizing as well or growing. So I think we're cautiously optimistic, but most conversations we have about next year are that we will see an uptick in activity. 
Operator: And next question comes from Ian MacPherson of Simmons. 
Ian MacPherson: Bill, Kyle, you just touched on the first thing, I wanted to ask about. It's certainly good to have some base in diversity right now, and we've had so much divergence recently with TI and gas. Do you think, Bill, there is a material amount of upside price elasticity with gas directed activity to offset the crude weakness right now? Or do you think that is oil activity is just more commodity price-sensitive in general than the gas basins are? 
William Zartler: Well, I think it is going to be a little more volatile. The gas prices have been moving. It's moved up some. It's moved down some. I think the magnitude of its moves haven't been quite as volatile as oil, and we anticipate it being stable. I think you will not -- if oil stays in 30 and gas goes to 3, you will see a net loss of activity next year, not -- the gas will not make up for a significant down draft in crude price. 
Ian MacPherson: Okay. This has also been sort of paced out a little bit in prior questions. But really, I think what I wanted to ask a little more bluntly with regard to the consolidating upstream sector is where -- do you have a strategic view of where your 33%, 35% share should go? Is it something that you plan towards? Is this something that you can plan towards with the way your marketing efforts are structured in the line within the team? Or do you think that you need to take what the market gives you as the market evolves? 
William Zartler: I think we really don't look at market share as our goal. Our goal is customers on a single one-off basis, whether it's direct to operators, whether it's direct to pressure pumpers and some combination of both that we go after and convincing them that the value that we add to their operations is significant and worthy effort. So the market share is really a fall out of the math of let's go get the customers, and we can demonstrate that we're going to be a reliable provider of services for them, and it's going to improve their operations, and we go at them one at a time. And that's really how we fundamentally approach it. 
Operator: Next question comes from Chris Voie of Wells Fargo. 
Christopher Voie: So just to check the box on pricing. It looks like it's pretty much on track, pretty stable versus the prior quarter. Obviously, I think you had the same price look since 2017 and a bit of a concession in the first quarter. But just to confirm, any shifts going forward? And then do you expect any impact kind of related to the M&A on the customer side related to more higher quantity discounts going forward? Just curious what your view is there. 
William Zartler: Yes. I think the pricing we saw in the third quarter is probably roughly where we see the mix coming out in the fourth quarter. It is driven as a function of mix, not only price. So I've got to keep that in mind. It's multiple variables. And then from a consolidation standpoint, I don't -- we're not forecasting any reduction in rates due to higher peers, if you will, in the pricing matrix? 
Christopher Voie: Okay. And then second question, do you have any technology projects on the horizon or other kind of build-outs or maintenance that could drive higher run rate CapEx in '21? Or should we assume that it's mistake pretty close to these levels going forward? 
William Zartler: I think from a maintenance standpoint, no, there's no deferred maintenance that would be associated with ramping up the systems of any significant magnitude. And from a technology standpoint, yes, I mean, we are constantly working on new technologies. And if we develop something that's got a neat home that provides good economic return to us and more important -- and just as important, good economic return for our customers, we feel comfortable in deploying capital there today. There's nothing today that's commercial, but we've got stuff that get tested in the field in the third quarter, and we'll have further testing in the fourth quarter. So we're constantly out trying to figure out new ways to grow. 
Christopher Voie: Okay. Well, with that in mind, can you give maybe a range, an expected range for CapEx next year by any chance? 
William Zartler: No. I don't think we're going to give any guidance on that at this point. But I think where we are from a maintenance standpoint, where we were this year is probably a fair number to be hit. 
Operator: [Operator Instructions] Next, we have a follow-up from Stephen Gengaro of Stifel. 
Stephen Gengaro: Just quickly on the sand on the dust mitigation side. It's a topic that's come up recently again. I know the ocean regulations are -- I think it's June of next year. How -- where is the issue in general? And how is the -- is your solution better or worse than the containers? 
William Zartler: So you really have 2 points of transfer of sand, right? You're taking it from a truck and then when it goes either into the silo or from the box that goes into a stack. And then from that unit into the blender Hopper. So the first piece, the movement of sand from a truck into the silo or movement of sand from a box to a store box. There's really no emission, if you will. We designed our system many years ago to address that. We've got very large dust collectors that sit at the top of our silos, the fines are collected and then they're dropped back into the silo and ultimately pumped out whole. Where you have an exchange is when the sand leaves our system and goes into the blender Hopper, which typically is an open container with -- as an open piece of equipment that is exposed to wind could be exposed to rain. And what we've done with the AutoHopper system is we've eliminated the need to keep that piece of equipment open.
 Historically, it was kept open because people physically would look into the Hopper to see what the level was and they would increase or decrease the rate of sand based on the level in the Hopper. And by using the AutoHopper, we actually use the consumption rate within the blender to determine how much sand we're going to deliver into the Hopper. So you no longer need anyone there. So what that allows you to do is to enclose the one piece of clear exposure, which is in the Hopper at the blender. So it's in a piece of equipment that's generally controlled by the pressure pumper. And with our technology, what we've been able to do is in close that area, which ultimately is the fix.
 But just to be clear, yes. And to be clear, it's -- the regulations have been known for quite some time, and we have been very focused on it and working with our customers in collaboration to make it happen. 
Operator: Thank the next question is Ryan Pfingst of B. Riley Securities. 
Ryan Pfingst: I guess just one more for me. So commodity prices will obviously play a role. But because of the downturn we've already had this year, do you think it's plausible to say that the normal holiday seasonality might not be as pronounced this year as it's been in recent years? 
William Zartler: It's certainly plausible, and we certainly hope that that's the case, but you just have to plan for what has been a historical trend over the last few years. 
Operator: Thank you. This concludes our question-and-answer session. I like to turn the conference back over to Mr. Bill Zartler for closing remarks. 
William Zartler: Thanks, Nick. I'd like to close with a thank you to all of our employees for your continued commitment and execution of our business and to all of our customers for their continued partnership over this difficult period. While we're not through the virus and its numerous lasting impacts on all of us, you all should be extremely proud that we've kept the business and industry alive and high functioning. Our operations will continue without interruption to provide essential services to our customers, employees, suppliers and shareholders, as we remain committed to helping our customers further increase efficiency, savings and safety on well sites by continuing to innovate and evolve our offering despite these market headwinds. Thank you all. Stay safe, and have a great day. 
Operator: Conference has now concluded. Thank you for attending today's presentation. You may now disconnect.